Operator: Good morning, ladies and gentlemen. Thank you for standing by, and welcome to the Third Quarter 2023 Shutterstock, Inc. Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to turn the conference over to your speaker today, Chris Suh, Vice President of Investor Relations and Corporate Development. Please go ahead.
Chris Suh: Thanks, Michelle. Good morning, everyone, and thank you for joining us for Shutterstock's third quarter 2023 earnings call. Joining us today is Paul Hennessy, Shutterstock's CEO; and Jarrod Yahes, Shutterstock's CFO. Please note that some of the information you'll hear during our discussion today will consist of forward-looking statements, including, without limitation, the long-term effects of investments in our business, the future success and the financial impact of new and existing product offerings, our ability to consummate acquisitions and integrate the businesses we have acquired or may acquire into our existing operations, our future growth, margins and profitability, our long-term strategy and our performance targets, including 2023 guidance. Actual results or trends could differ materially from our forecast. For more information, please refer to today's press release and the reports we filed with the SEC from time to time, including the risk factors discussed in our most recently filed Form 10-K for discussions of important risk factors that could cause actual results to differ materially from any forward-looking statements we may make on the call. We'll be discussing certain non-GAAP financial measures today, including adjusted EBITDA and adjusted EBITDA margin, adjusted net income, adjusted net income per diluted share, revenue growth, including by distribution channel on a constant currency basis, billings and free cash flow. Reconciliations of these non-GAAP measures to the most directly comparable GAAP measures can be found in the financial tables included with today's press release and in our 10-Q. I'd now like to turn the call over to Paul Hennessy, Chief Executive Officer.
Paul Hennessy: Thank you, Chris. Good morning, everyone. Thank you for joining us today, and I wish everyone a happy Halloween. In the third quarter, Shutterstock's data and creative engines fueled faster growth and furthered the transformation of our business. Enterprise demand picked up, and we expect a further acceleration into the fourth quarter. We are seeing stabilization and are executing operationally to drive a recovery in E-commerce over the next several quarters, supported by marketing and product innovation. On top of strong operational performance, Shutterstock also delivered exceptionally strong financial performance this quarter with record revenues of $233 million, representing growth of 14% year-on-year. We continue to be highly profitable, generating $65 million of EBITDA, or 28% margins. EBITDA has exceeded $60 million every quarter for three consecutive quarters, and we are on track to grow EBITDA by double digits this year. Based on our strong year-to-date performance and improved confidence and visibility in our business, we are again raising both revenue and EBITDA guidance for 2023, which Jarrod will discuss in more detail. Q3 also marked the first quarter where enterprise revenues exceeded E-commerce revenue for Shutterstock. Our enterprise channel is posting consistent growth, and in the third quarter grew 60% in total and grew 4%, excluding data. We continue to experience strong growth in subscription offerings for medium-sized enterprises with our FLEX product, which grew 9% in the third quarter. And we also saw strong momentum at Shutterstock Studios, signing our two largest deals ever. Studios has a strong beachhead in virtual production, leveraging 3D assets for gaming ecosystems. We view this market opportunity as having tremendous legs as the gamification of entertainment and interactive media continues. Strength in SMB products and studios is expected to drive accelerated enterprise growth of between 10% and 15% in the fourth quarter, excluding data. On the 3D front, Shutterstock and NVIDIA are making good progress on our generative 3D offering and will be testing in the fourth quarter. As we communicated the outset of the partnership earlier this year, we believe that our generative 3D offering will lower the cost of 3D model production and drive wider adoption across diverse use cases through simple text to 3D model generation capabilities, as well as expand our library of models available for purchase. Meanwhile, our E-commerce channel declined 15% on a year-over-year basis in Q3 2023. We have confidence that our initiatives will drive a recovery in E-commerce over the next several quarters, including marketing changes driving growth in the top-of-funnel traffic, improvements in both conversion effectiveness and customer retention, and the recent launch of our low-cost essentials plan featuring unlimited content and our latest generative AI capabilities. As we mentioned on our last earnings call, we believe that we underinvested in marketing in the last several quarters. We have since increased our paid marketing spend in both brand and SEM and expanded our affiliate channel with a significant new partner. As a result, in October, we have seen traffic growth accelerate to 9% and believe this trend of accelerated traffic growth will continue. We have numerous future opportunities in SEO to drive additional top-of-funnel traffic improvements and will continue to spend on marketing, which will drive growth in the fourth quarter and into next year. Second, we are seeing conversion effectiveness and retention begin to improve. Our conversion rates in October have improved by over 10%. We are also seeing improvements in retention in our subscription products, with churn rates at their lowest point over the past three and a half years. We believe that we have likely given up some of the lower quality customer growth we may have acquired during the pandemic and are now building off a more stable base of core customers. Third, we have just brought to market an exciting new E-commerce product that marries all of our capabilities and generative AI, including image generation and generative editing tools, with unlimited content at an attractive price point, Shutterstock Essentials. Shutterstock Essentials plan is a $9.99 monthly plan that is simple and low-cost and targets small business and casual creative customers by giving them access to our AI-powered image generation and our recently launched AI-powered editing tools. Unlimited access to a library of over 3.5 million wholly owned images and a discount on our premium tier of images and other content types. In addition to Essentials serving as a customer acquisition product, we believe there is an opportunity to serve the evolving need of our customers by up-selling and cross-selling higher priced premium images, videos, music, and 3D assets to these Essentials customers. We also launched Creative AI, our generative AI-powered editing suite last week, which will be included in Shutterstock Essentials plan. As a result, customers can both generate new images and use AI-powered tools to edit any pre-existing images to make stock their own. Creative AI includes five generative features that are on par with or better than anything available in the market today. A magic brush function to modify a specific portion of an image, automated variations to quickly generate lookalike alternatives, a zoom out function to generate a wider lens perspective, a smart resizer to ensure components of image are correctly proportionate to each other, and a background remover. In terms of generative AI image generation through our collaboration with OpenAI, Shutterstock has priority access to the latest technology, including DALL-E 3, and our teams are finding the preliminary results best-in-class. As a result of improving quality and a shift in the marketplace, we believe that monetization is in sharper focus across image generation and editing platforms. And Shutterstock is positioned to benefit as the ecosystem starts to change more for licensable high-quality images. Beyond our E-commerce and enterprise content businesses, I'd like to discuss two of the most exciting growth areas in Giphy and in Data, both of which are important parts of our strategy. To remind investors, Giphy is a scaled content platform that sits at the intersection of personal communications and shared moments revolving around events and emotions. It enjoys massive audience reach and generates billions of monthly impressions through over 14,000 API partners. All of this translates into a unique and exciting opportunity for brands. To that end, Giphy is now officially open for business, and we are up and running with our first customers on the ad platform with multiple other proposals out. We are seeing strong receptivity by brands in CPG, retail, food and beverage, and financial services. The idea that Giphy's content is something you share rather than something you skip has strong resonance with these advertisers. We expect exciting developments from Giphy in the quarters to come as advertiser interest in the platform grows and we scale our ability to execute on customer campaigns. Turning to data, it is now clear that data sales for AI and ML model training is an explosive growth opportunity for Shutterstock. Scraping proprietary data to train generative AI models for commercial application is now universally recognized as an unsustainable business tactic. It's fraught with legal, financial, and reputational challenges. This plays to Shutterstock's strengths because we offer ethically sourced and licensable metadata at unique scale across media, including images, video, music, and 3D. The scale and quality of our data is evidenced by our incredible roster of customers and partners. This quarter, I'm pleased to report we have signed a new multi-year deal with Amazon as well as expanded relationships with multiple existing strategic customers. Our customers have reviewed our data in detail, conducted extensive due diligence and evaluation testing, and ultimately decided that Shutterstock was the key partner from which to source this critical ingredient for their AI needs. Thus far, we've had tremendous success in working with the world's largest technology platforms, but we believe the next year potential customers who are looking to train their own proprietary generative AI models and build applications will require a different approach to consumption and distribution. In closing, we are seeing some really encouraging signs across our business. Our future engines of growth in Giphy and Data are showing extremely strong demand. Our E-commerce business is stabilizing, and we expect recovery over the next several quarters. And our enterprise business picked up and is expecting an even stronger finish to the year. We have some exciting new products that will be rolling out in the fourth quarter, and we see tremendous potential future upside in our business with our creative and data engines taking the lead in Shutterstock's transformation. With that, I'll turn the call over to Jarrod.
Jarrod Yahes: Thank you, Paul, and good morning, everyone. Shutterstock reported an exceptionally strong third quarter with revenues of $233 million and revenue growth of just over 14%, a record quarter and well beyond our expectations. Q3 adjusted EBITDA was $65 million with 28% margins, showcasing the strong profitability of our business. The enterprise channel was up 60% in the third quarter, driven by revenue from our data engine, which grew to $46 million, a record performance and driven by our recent win with Google, as well as a new win with Amazon. We are in the process of booking an additional $40 million in total contract value with multiple new and existing data customers. On these new bookings, we are structuring our deals in a manner that will result in more consistent quarterly revenue recognition over an extended period of time. And so while the new bookings will not impact 2023, most of the revenue will flow into 2024 and beyond. Over time, this approach creates a more significant bookings backlog, greater visibility and predictability, and ultimately a more scalable and sustainable data business. Our enterprise channel growth, excluding data, was driven by strong 9% growth from FLEX subscriptions, as well as Giphy starting to ramp up. As Paul mentioned, we expect revenue growth to accelerate further into the fourth quarter to 10% to 15% based on some landmark wins at Shutterstock Studios and overall bookings momentum. The growth of our creative and data engines that we discussed at our Investor Day in February is clearly accelerating and positively impacting our enterprise channel. Our E-commerce channel was down 15% in the third quarter. As Paul discussed, we are seeing stabilization in the business and expect a recovery in the quarters to come based on current initiatives. Subscriber revenue was up for the quarter with subscriber counts slightly down, but having stabilized sequentially, indicating that new customer additions and customer attrition are beginning to match and a meaningful improvement from the past several quarters. We've also seen improvements in churn rates, and we believe that many of the cohort of customers that came into the business in 2021 have left the business, resulting in a more durable base of customers. We expect the fourth quarter revenues in E-commerce to be stable sequentially, reversing the recent trends that we have seen. Reported gross margins declined by just over 1%, driven by higher royalties related to revenue generated through data sales, non-cash M&A amortization, and Giphy retention compensation. Giphy retention compensation had minimal net cash impact to Shutterstock in the quarter as these costs were reimbursed. Sales and marketing expense in the third quarter was 24% of revenue compared to 23% of revenue in the third quarter of 2022. We expect full year marketing spend of 25%, consistent with 2022 as we dial up performance marketing spend in our E-commerce sales channel significantly in the fourth quarter. Sales and marketing spend in the fourth quarter is expected to be at least $10 million higher than Q3 with additional spending on branding and SEM. As Paul mentioned, with conversion effectiveness up, this gives us the opportunity to spend further to grow our business. Product development was 12% of revenue compared to 9% of revenue in the third quarter of 2022. Nearly all of the increase is due to Giphy-related retention compensation costs that were reimbursed in addition to $1.5 million of severance incurred in the quarter. G&A expenses were 16% of revenue compared to 15% in the third quarter of 2022 driven by higher noncash stock compensation costs, severance costs and Giphy retention compensation that was reimbursed. Stock compensation costs are higher due to greater expectations around annual performance this year. Severance costs totaled $2.1 million as we ensure that we have the right cost structure for strong profitability going into 2024. As an executive team, we are squarely focused on driving both revenue growth and profitability, and we consistently manage costs across our expense structure. We grew Q3 adjusted EBITDA by 15% year-over-year to $64.6 million. Adjusted EBITDA margins were up 20 basis points year-over-year to 27.7% driven by revenue growth. This margin improvement was despite a 3% impact from Giphy costs that were reimbursed in cash, but included in reported adjusted EBITDA. We are well above where we expected from a margin perspective year-to-date at 29.6%, and have the flexibility to invest across our business to accelerate growth. While we are encouraged by our margin performance year-to-date, we expect a more normal margin profile in the coming quarters. Turning to our balance sheet, we had $75 million of cash at the end of the quarter. Free cash flow is negatively impacted by customer receipts of $12 million that were received just after the quarter close, and we expect cash balances to grow meaningfully into the fourth quarter on the back of record free cash flow. Our deferred revenue balance was $203 million, down from $207 million last quarter. However, the reduction in deferred revenues is largely due to amortization of acquisition balances from Giphy. Our focus is to amplify revenue growth and strong profitability with attractive shareholder returns. During the quarter, we paid $10 million related to our quarterly dividend, providing a yield of over 3%. We also repurchased 351,000 shares for $15 million. And with our current share repurchase authorization, we can repurchase 7% of our shares annually. For the full year, we are raising our revenue growth guidance from a range of 3% to 5%; to 5% to 7%; and our adjusted EBITDA from a range of $227 million to $235 million; to $240 million to $245 million, our third time raising revenue and adjusted EBITDA guidance this year. In the fourth quarter, we expect our enterprise channel, excluding data to accelerate to 10% to 15% growth its best performance this year, and we expect to see stable, sequential revenues in E-commerce. We expect another strong quarter in data, slightly above the quarterly revenues in the first half of the year. We are increasing revenue expectations to over $100 million in data revenue in 2023, up from the prior expectations of $70 million. The increase in our expectations for growth is coming from new customers we have signed such as Google and Amazon, but also from significant land-and-expand wins with multiple existing customers. Furthermore, our bookings and pipeline for next year has grown dramatically, already providing us line of sight to over $60 million in revenue in 2024 from contracts that are already in place or being completed now. And this is before 2023 is even complete. It is clear that our data business is seeing demand accelerate dramatically. Our EBITDA guidance factors in the significant ramp of at least $10 million in marketing in Q4, as well as $16 million per year of full year Giphy expenses that will be reimbursed, making them cash neutral for the business. With some of the client inflows received just past the third quarter, we also expect Shutterstock to generate record fourth quarter free cash flows. Suffice it to say that we are excited about how the year has progressed and the demand signals we are seeing. Our E-commerce channel is stabilizing and expected to turn the quarter with new products and improved marketing support. And Enterprise is steadily growing at mid-single digits, soon to be bolstered by the Giphy ad platform that is now officially open for business. We are excited about the dramatic uptick in demand for data from new customers as well as existing clients and the potential for the total addressable market for clean, ethically sourced metadata for generative AI model train to broaden out as these capabilities become core to a range of business applications. We are focused as a team on executing against some of these extremely exciting growth opportunities that are emerging for Shutterstock in real-time. And with that, operator, we'll open the line for any questions.
Operator: Thank you. [Operator Instructions] The first question comes from Bernie McTernan with Needham & Company. Your line is open.
Bernie McTernan: Great. Good morning. Thanks for taking the questions. Maybe to start, Paul, in your prepared remarks, it seems like the industry crossed a line in the sand on their attitude towards web script content for training purposes. Am I interpreting your comments correctly? And if so, what really caused that change?
Paul Hennessy: Yes, I think, there is a variety of reasons, Bernie, that the largest players in the industry have crossed that. And I articulated some of them in my prepared remarks. There is brand reputation issues, there are legal and regulatory issues. And I think what the large players have found and we believe the second tier players will also find is that ethically sourced metadata like Shutterstock has uniquely positions us to be able to meet their emerging needs around AI. So, we are pleased that good is winning out and we are pleased that we have the assets, the content and the position to leverage that.
Bernie McTernan: Understood, thank you. And then I appreciate the comments on some of what's going on in the E-commerce platform. But I would love if you could provide some more context in terms of traffic growth of 9% in the quarter, conversion 10% higher. Just where those kind of stand relative to historical norms?
Paul Hennessy: Yes. Clearly, they are an improvement. I think we told everyone about the level of experimentation we are doing and I articulated the new product launches that we are putting and testing in the market now. And I think what – in addition to, by the way, work that we are doing to drive incremental traffic as articulated in my prepared remarks. And what you find is when you are converting better, you've got new products that are attractive to customers combined with better retention overall. The business starts to trend better, and that's what gives us confidence in calling a stabilization of E-commerce with improvement on to come.
Bernie McTernan: Understood. And maybe just – sorry, I cut you off.
Jarrod Yahes: No, Bernie. One other thing I would just add is we have been delivering really strong profitability year-to-date. We are at almost 30% EBITDA margins year-to-date. That's given us the ability to invest in sales and marketing. Sales and marketing was up $8 million sequentially in the third quarter and we expect it to be up another $10 million from those levels in the fourth quarter. So, when you are running a highly profitable business, one of the outcomes of that is that you do have the ability to reinvest, and we’re doing both at the same time. We're running a highly profitable business, and we’re significantly reinvesting in the company.
Bernie McTernan: And maybe just lastly for me as a follow-up there, should we – is kind of like second half of next year the right time to assume E-commerce can get back to year-over-year constant currency growth?
Paul Hennessy: Yes, Bernie, it's Halloween. So, we're in October still. We're not calling the day or the month on when we cross over. But I'm bullish on our performance, and I like the trend.
Bernie McTernan: Understood. Thanks for taking the questions.
Paul Hennessy: Thank you.
Operator: Please standby for the next question. The next question comes from Youssef Squali with Truist. Your line is open.
Youssef Squali: Hey great. Thank you very much and good morning all. So Paul, on the legal, ethically-sourced metadata topic, yesterday, there seems to have been a core case that seems to have biased favorably Midjourney, Stability AI, and DeviantArt in their copyright case. So, can you maybe just comment on how that may impact your view or more importantly, maybe these data buyers’ view of demand and reliance on Shutterstock if that place will be ethically resourced to metadata?
Paul Hennessy: Sure. And I will tell you that the inputs in our thinking come from the largest players in the space. So, we are having dialogues at the highest level of some of the largest companies in the world and they are giving us direct feedback about why they are buying from Shutterstock. And as for, really for the reasons that I have articulated current court cases notwithstanding, they are coming to us because we've got the goods the goods are clean and ethically sourced. And we value that input. And these large companies are quite literally voting with their strategy and voting with their wallets and engaging Shutterstock to suit their needs. So, I think there is going to be a lot of emergence of multiple court cases, but there's nothing truer than the actual customers engaging with our brand.
Youssef Squali: Okay, that's great to hear. And staying on that topic for a sec, can you elaborate on your comments about working on next tier of potential customers, maybe a slim-down version of your data deals for maybe smaller companies that cannot afford the seven-digit or eight-digit type of deals?
Paul Hennessy: Yes. We articulated that there will probably be a different approach. And as you might expect, we are not going to give out the playbook, but we are in discussions and the needs of the customers, the size of the customers, the approach of the customers is different than the largest companies in the world. And so you can expect Shutterstock as it always does, to adapt and be customer-centric in the way we put together our products and services. So, we like the hand that we've got, and we're playing it to meet the customer demand.
Youssef Squali: All right, super helpful. And maybe lastly, Jarrod, on your Q4 guidance, if my math is correct, it implies growth in low single digits and margins in the low to maybe mid-20s. Can you just go over again the – I think, you mentioned some of them in the prepared remarks. And maybe can you just walk through the math there? And maybe more importantly, as we look at 2024, is the assumption that we're on a year-on-year basis margins go back to their most recent trend line? [Indiscernible].
Jarrod Yahes: Sure. So Youssef, I think you are correct, both in your overall assessment on Q4, both revenue as well as EBITDA. I think EBITDA, if you sort of do the math, you look at the guidance for the full year, and you look at the $10 million of incremental sales and marketing spend, you will get to EBITDA in the low 20s in percentage terms and I think you will get to mid-single digits in terms of revenue growth for the quarter. I think this is clearly putting $10 million of incremental sales and marketing spend on the back of $8 million of incremental sales and marketing spend, a very heavy investment period for us. We are doing that on the back of exceptional year-to-date profitability. I do not think that our Q4 EBITDA margin level is sort of the stable run rate for the business that you expect going forward. I think at this point, if you look back on the history of the company over the last three or four years, you've seen a very consistent focus on both revenue growth and profitability, I would not expect that to change.
Youssef Squali: Awesome. Thank you so much.
Operator: [Operator Instructions] The next question comes from Andrew Boone with JMP Securities. Your line is open.
Andrew Boone: Good morning and thanks for taking my questions. I wanted to go back about the 2024 disclosure that you guys had in terms of the [indiscernible]. It sounds like revenue from new data contracts will be more recurring going forward. Can you just give us more details there and talk about maybe the trade-offs of recognizing more revenue upfront versus elongating that? Thank you.
Jarrod Yahes: Sure, Andrew. So there's two disclosures that we made in our prepared remarks that are, I think, incremental and helpful. One is beyond the two new customers that have been driving in-year revenues there's about $40 million of total contract value of pipeline that is either booked or in the process of being booked, that will largely contribute to revenues in both 2024 and beyond. And so we have line of sight today into at least $60 million of revenue in 2024, and that's really before we end the year and continue to sell and deliver in 2024 itself. So we're clearly in a very good position to continue to build this business and build it from a position of strength and stability. Whenever you transition from a perpetual license deal to more of a ratable revenue recognition model, there can be an impact on revenue growth. We've seen that with other companies over the years. But we do believe that this is a model that will create greater visibility for Shutterstock. We think it's a model that we'll be able to invest behind because we will have a much greater sense of the forecastability of the business and where we are. And I think this trend towards a greater number of smaller customers will also benefit our ability to forecast and have visibility in this business. So I think this is part of the natural maturation that any new service line undergoes, and we feel really good about the way this business is evolving with respect to demand, with respect to the way the customers are coming in and the way we'll be servicing and delivering against their needs.
Andrew Boone: Great. Thanks for that. And then Enterprise ex-data partnerships revenue accelerated in 3Q 2023. The question I want to ask is, can you talk about the difference of adoption between enterprise versus self-service? Why the divergence and what's different on the enterprise side ex-data partnerships?
Jarrod Yahes: Sorry, Andrew, just to clarify your question. You're talking about adoption of what specifically?
Andrew Boone: What I want to get out is stock media, right, is you're seeing the enterprise just much more stable on enterprise revenue ex-data partnerships versus e-com? And just talk about the difference between the two, and again, why do you think that's the case? And how do we think about that going forward? What's the opportunity? What's the risk?
Paul Hennessy: Great question, Andrew. Here's how we think about it. If you think about the e-commerce side, you have a stable set of small and medium customers that are consistent users of our product, whether it's images, video, music or other. And on the enterprise side, you've got very large-scale customers that have been with us for a very long time, with very high retention rates because Shutterstock is just clearly front and center and a critical aspect of their workflow. And so what you see is high retention, high growth as we bring more products and services to bear for our enterprise customers. And there tends to be on the e-commerce side a level of infrequent use, which is exactly why we created the new product that I talked about, Shutterstock Essentials, so that customers can engage at a lower price point and still get a high-value product that meets their needs. So there are just two different kinds of customers. And even within the super categories of e-commerce and enterprise, you have sub-classifications of segments of customers and our goal is to make sure that we've got the right product mix for each one of those segments.
Andrew Boone: Great. And then just for my last question. In 2Q, you saw gross margins decline 50 basis points. You saw a 100 points in 3Q. Can you just talk about the gross margin profile? Is there any change as newer products enter the mix? Thanks so much guys.
Jarrod Yahes: So Andrew, this quarter, we did see a slight compression in the gross margin. But as we called out in the prepared remarks, some of that is as a result of some of the Giphy compensation that flows through our P&L. It's also as a result of stock compensation expense and that stock compensation expense ticks up because we do compensate our team partially through performance restricted stock units. And when the expected results for the year improve, which they have the expense ticks up and that partially flows through our gross margins. There is nothing structural in our business today that is impacting the gross margins. And as we've mentioned in the past, our data deals have very comparable gross margins to our core content business because we're paying our contributors royalties that are commensurate with our core content business. There are interesting opportunities in the future, however. Giphy has the potential to be a higher gross margin business for Shutterstock and that's something that we're keenly aware of and quite excited about as we move into an advertising-based model.
Andrew Boone: Thank you.
Operator: [Operator Instructions] The next question comes from Curtis Nagle with Bank of America. Your line is open.
Curtis Nagle: Great. Thanks for much for taking it. Maybe just staying on that line, Paul, maybe as much as you can, I know its early days, but just talk a little bit about, I guess, the monetization potential for Giphy. Obviously, it could be really big. Just given the level of impressions you're getting and kind of the team in place. But yes, just would be curious to hear how you guys are thinking about it? And then I'll follow-up after that.
Paul Hennessy: Yes. We're enthusiastic. We said that we would be kind of re-launching our advertising platform in Q4. We were ahead of schedule in the delivery of that. We started to alert customers that we are officially open for business. And when you have not only the size and scale but the level of engagement with the asset that is Giphy, advertisers are enthusiastically including us in their campaigns for Q4 and are thinking very seriously about us throughout 2024. So all of the early signs are very encouraging, and as we start to get these campaigns up and running and start to deliver performance, we think that, that spreads and the advertisers get even more enthusiastic. So we remain bullish and in fact, seeing the quality of the team and the level of our execution, I'm more bullish than when we bought the asset back in June.
Curtis Nagle: Okay. Very helpful. And then a question for Jarrod; as much as you can, would be curious just to hear a little bit more about the structure of the new data deals, right? The original ones were very front-loaded; it sounds like a more spread, but any guidance and kind of the duration would be helpful. And then if you could, just what were the data revenues in 4Q of 2022?
Jarrod Yahes: Sure, Curtis. And Curtis thanks for joining. We look forward to working with you, and thanks for joining our call. Data revenues in the fourth quarter of 2022 were $15 million, and I think you specifically asked about the fourth quarter. The third quarter of 2022 was much lighter was about $2 million. And then I think your second question was just on how we think about the data deals. Ultimately, there are going to be a range of duration of contracts that we look at, depending on the specific needs of our customers. Those contracts could be one-year in duration, two years in duration. We've done contracts as long as five years and six years in duration. So we are going to look at a range of customer contract length and it really depends on their expected pace of consumption of metadata for building generative AI applications and training models. We also plan on providing incremental training data to our customers, and we've seen significant growth in our library with fresh data. If you look back at our library, that growth was traditionally high single digits. We've seen a fairly consistent acceleration in that growth over the course of the past year. And both we and our metadata customers are very excited about that fresh incremental data that's coming in that is reflective of the world around us today as it exists. Ultimately, we think this is going to create a more visible revenue stream for our data business. It's going to give us a waterfall of contracts to build upon and better visibility for revenues in the years to come.
Curtis Nagle: Got it. Okay. Thanks very much and yes, looking forward to working with you guys. Appreciate it.
Paul Hennessy: Thanks Curtis.
Operator: [Operator Instructions] The next question comes from Karen Kenny [ph] with Morgan Stanley. Your line is open.
Unidentified Analyst: Thanks for taking my questions. I have two. First, can you provide some examples on the types of expansion deals you're signing? And I'm specifically wondering if you're seeing any extension into different content types that weren't included in the original deals? And then second, Jarrod, can you comment on how the deal count and TCV composition used [ph] in 3Q relative to the first half of the year? Thank you.
Paul Hennessy: Karen its Paul. Great question. We see across our large partners exactly as you described. Some start with a particular content type and come back and say give us a lot more of it, and some that are taking a large portion of the particular content type are now moving from one content type to the other. And so by going both vertical and horizontal, that creates both a revenue and profit opportunity for us but also allows our large partners and customers to better train their models. So it's the comprehensive nature of the entire asset library that we have as well as the underlying metadata and the cleanness of that data and the ethically sourced nature of that data that makes it so compelling.
Jarrod Yahes: Karen, just to add on to that, when you think about our customers and the demand we're seeing from existing customers, a fairly significant component. I would estimate about half of the $40 million of incremental bookings is actually existing customers that are electing to purchase from us new content types or additional volumes of existing contents. So there's very significant incremental demand that's coming from existing customers, the remainder would be from new customers that we've secured. So we're very, very excited about that. Nothing materially different to report in terms of customer count. This is still not a business that has hundreds of customers. It's a business where our customer count is growing. Our customer list is growing. We're announcing a new customer every quarter, at least, if not more. We do have plans to expand the TAM and expand the offerings that we provide to make this a more attractive and more affordable proposition for different types of customers, but we're very excited about the demand we're seeing, obviously, and existing customers being a significant part of the new TCV pipeline build is a very exciting demand signal for us in terms of land and expand.
Unidentified Analyst: Great. That's really helpful. Thank you.
Operator: I show no further questions. At this time, I would now like to turn the call back to Paul Hennessy for closing remarks.
Paul Hennessy: Thank you very much. And as always, we want to express our gratitude to our customers, our contributors and especially our employees. Thank you for joining us. This ends our call for today.
Operator: Thank you for participating. This concludes today's conference call. You may now disconnect.